Operator: Greetings. And Welcome to the BRP Group, Inc. First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Bonnie Bishop, Executive Director of Investor Relations. Please, go ahead.
Bonnie Bishop: Thank you, Operator. Welcome to the BRP Group’s first quarter 2022 earnings call. Today’s call is being recorded. First quarter 2022 financial results, supplemental information and Form 10-Q were issued earlier this afternoon and are available on the company’s website at ir.baldwinriskpartners.com. Please note that remarks made today may include forward-looking statements, which are based on the expectations, estimates and projections of management as of today, including certain expectations related to COVID-19 and other matters. Forward-looking statements are subject to various assumptions, risks and uncertainties, and a variety of factors that are difficult to predict, and which may cause actual results to differ materially from those contemplated by such statements. For a more detailed discussion of those factors, please refer to the company’s earnings release for this quarter and to our most recent SEC filings, including our most recent Form 10-Q, all of which are available on the BRP website. During the call today, the company may also discuss certain non-GAAP financial measures. For a reconciliation of these measures to the most closely comparable GAAP measures, please refer to the company’s earnings announcement and supplemental information, both of which have been posted on the company’s website at ir.baldwinriskpartners.com and can be found in the company’s SEC filings. I will now hand the call over to Trevor Baldwin, Chief Executive Officer of BRP Group.
Trevor Baldwin: Thank you, Bonnie, and good afternoon, everyone. And thank you for joining us for our first quarter of 2022 earnings call. I will share brief remarks, followed by Brad, who will cover select financial and business highlights from the quarter, and then Brad, Kris and I will take questions. I want to start by thanking the amazing colleagues and partners at BRP. Q1 was a record quarter with broad-based performance across our business, highlighted by organic growth of 16%, the highest first quarter organic growth rate we have achieved since our IPO, supported by double-digit organic growth across all four segments and total revenue growth of 59%. We generated these results while investing significantly in the people and technology that we expect will drive accelerating innovation, growth and profitability through 2022 and beyond. To highlight the growth and transformation we have achieved in recent years, in the first quarter of 2022 alone, we delivered more than 175% of the revenue we generated as a firm for all of 2019, the year we went public. Adjusted EBITDA for this quarter was more than 150% greater than the adjusted EBITDA we earned in all of 2019. The MGA of the Future demonstrated strong growth of 42% during the quarter. We continued to execute multifamily, now with over 1 million renters policies and master certificates in force, while also making continued progress in new products with our de novo homeowners product now live in six states. On April 29th, we closed on the Westwood Insurance Agency transaction, a strategic partnership we announced in the first quarter. Westwood represents our largest partnership to-date and more than doubles our Main Street segment by adding embedded distribution and a team dedicated to serving new home buyers across America through our relationships with many of the top homebuilders’ across the country. Separately, through our MGA of the Future platform, we entered into a program administrator agreement with QBE, the seller of Westwood to assume operation of QBE’s roughly $200 million builder sourced homeowners book of business. This agreement fast tracks MGA of the Future homeowners’ growth with a preferred outperforming book of business. In summary, we believe BRP is now one of the industry’s leading tech-enabled personal lines brokerage and MGA businesses as measured in aggregate by policies in force, revenue, profitability and loss ratio performance. Looking into 2022, our reputation as a destination employer is also being validated on the organic hiring front. During the quarter, organic hiring continued to accelerate evidenced by our welcoming of more than 370 new colleagues. Our total headcount now stands at over 3,300, up from over 2,800 at the end of 2021 when including new colleagues from Westwood. On the partnership front, we have added approximately $82 million of annualized revenue against our 2022 goal of $100 million to $150 million of acquired revenue. Our partnership team continues to pursue partnerships that closely align with BRP’s culture, enhance our go-to-market capabilities and elevate our reputation as the premier home for our industry’s top professionals. On that topic, we are excited to announce the addition of Rich Tallo as our Chief Marketing Officer. Rich brings over 20 years of insurance industry experience, most recently as the Executive Vice President, Marketing and Communications for Chubb, where he deployed world-class marketing and communications programs. Rich will lead our marketing communication strategy across the firm, delivering programs designed to drive profitable growth and long-term recognition for BRP. Lastly, there is certainly been some volatility in the world and broader financial market since our last call took place in early March. Against this backdrop, we are fortunate to be in the enviable position of having a growing and diversified business and an extremely resilient industry. And while we are now currently prepared for a recessionary economic environment later this year, the strength of our franchise and underlying performance of our business has informed our increased outlook for 2022 organic growth which Brad will detail. With that, I will now turn the call over to Brad.
Brad Hale: Thanks, Trevor, and good afternoon to everyone joining us today. For the first quarter we generated revenue growth of 59% to $243 million. We generated organic growth in the first quarter of 16%, with all four segments hitting double-digit organic growth for the quarter. We reported GAAP net income for the first quarter of $45 million or income of $0.39 per fully diluted share. Adjusted net income for the first quarter of 2022, which excludes share-based compensation, amortization and other one-time expenses was $58 million or $0.50 per fully diluted share. A table reconciling GAAP net income to adjusted net income can be found in our earnings release and our 10-Q filed with the SEC. Adjusted EBITDA for the first quarter of 2022 rose 37% to $73 million, compared to $53 million in the prior year period. Adjusted EBITDA margin was 30% for the first quarter of 2022, compared to 35% in the prior year period. As a reminder, our adjusted EBITDA margins are seasonal in nature with Q1 being the strongest quarter. The seasonality does shift year-over-year as a result of partnerships completed during the prior year, which was the primary driver of the margin decrease from Q1 2021 to Q1 2022, as well as an acceleration of certain planned investments into our technology teams and Main Street business in preparation for the transaction closing and integration of the Westwood business into BRP. Our quarterly earnings supplement available on our IR website now includes organic growth by segment for the quarter. As a reminder, we are focused on long-term sustainable double-digit growth, as evidenced by our last two years’ organic growth of 16% and 22%. We do not run the business to achieve specific quarterly results, which can vary sometimes significantly quarter-to-quarter. On the capital front, we expanded the capacity of our revolving credit facility from $475 million to $600 million, increased our total net leverage ratio covenant to 7 times and extended the maturity date to April 1, 2027. This gives us an additional margin of safety and leaves us well-positioned to execute on M&A and achieve our goal of $100 million to $150 million in acquired revenue in 2022. As you heard from us last quarter, we believe our share price today represents the largest gap between actual and intrinsic value that has existed since our IPO, and as such currently do not have an appetite to raise common equity in the near-term. We will continue to look at debt and preferred equity options if attractive as we did in Q1 and plan to responsibly manage our leverage down through cash flow, growth and margin expansion. Also, we think it is worth mentioning based on dialog with data providers and ETS, that a major data provider mistakenly under-reported our public float by approximately 27 million shares for two months between late February and April of this year. And the flow-through to index fund rebalancing and funds that track certain indices may have created significant selling of BRP stock as a result. A few items regarding expectations for Q2 and the full year 2022. First, for the second quarter of 2022, given the strong performance across our business, we expect to generate organic growth in the high-teens. Additionally, because of changes to the seasonality of our business as a result of 2021 partnership activity and the closing of Westwood, we will provide some additional color beyond what we would normally provide for our historical pro forma revenue and initial Q2 projections. Including the Westwood partnership, as of 331 pro forma LTM revenue is approximately $835 million. Currently, we expect revenue for Q2 2022 to be approximately $220 million and for adjusted EBITDA margins for the second quarter to be 100 basis points to 150 basis points higher than the 17% in the second quarter of 2021. For the full year of 2022, on the back of significant investments made in the business last year and into 2022, and despite what we believe may be a recessionary economic environment later this year, we are increasing our expectations for organic growth for the full year to mid- to high-teens. We have begun deploying the nearly $50 million investment we mentioned on our last earnings call with a concentration in our MGA of the Future and Main Street businesses, primarily in key colleague additions and technology development. These investments create new products and teams that should be contributors to 2022 organic growth, an important catalyst for 2023 organic growth. Despite this large investment in new teams and solutions as seen in Q1, we still expect an additional 50 basis points to 100 basis point increase in the adjusted EBITDA margin for the full year above last year’s 20% consistent with the expectation we had on our last call in March. In summary, we are excited about our record first quarter 2022 results and the momentum we have carried into Q2. I echo Trevor’s thank you to our colleagues who have been the driving force in propelling us to new heights and positioning us for continued strong performance. With that, I thank you for your time and we will now open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] And the first question will come from Elyse Greenspan from Wells Fargo. Please go ahead.
Elyse Greenspan: Hi. Thanks. Good evening. My first question, you guys mentioned some acceleration of your tax spend. I think that was reflected in the first quarter margin. Can you give us a sense, I mean, I think, that’s embedded right, which is the seasonality in the margin walk for the year, but can you just give us a sense of how much was actually accelerated in the first quarter?
Trevor Baldwin: Yeah. Good evening, Elyse. Brad, do you want to take that one?
Brad Hale: Yeah. Hey. Good evening, Elyse. We did make a decision late in the first quarter to accelerate certain investments in both talent and technology really to prepare for the QBE program administration agreement and to be able to flip live on that agreement in conjunction with the closing of the Westwood transaction. We are confident these investments will contribute to both in year growth and margin with a full pay-back in 2022, which is why we have kept our full year margin EBITDA guidance flat to what we communicated in March.
Trevor Baldwin: Elyse, basically that would bridge you up to about 32% EBITDA margin and while it was margin degradation in quarters, because we hadn’t flip to the program administrator agreement on yet. But as that goes live, it fully earns into the productivity effect, basically immediately.
Elyse Greenspan: Okay. And then you guys mentioned being prepared for a recession, you also kind of raised your guide and gave a pretty positive view for the second quarter. So can you just give us a sense of how you think the recession can impact your businesses, and I guess, as you think about that, would you still be thinking you can get into recession and you could still see double-digit organic growth throughout all of your businesses?
Trevor Baldwin: Yeah. Great question, Elyse. So based on some kind of early signs we are seeing conversations we are having with certain clients that are beginning to see and feel some slight waning and consumer demand. We expect that economic activity is going to pull back in the back half of the year. Despite that and as a result of the investments we have been making certainly in the habitational side of our business, we believe we are going to see accelerating growth through the balance of the year, as evidenced by the increased outlook on organic growth. We expect we will see broad based double-digit organic growth across our business despite this. I think we will certainly see pockets where there is an impact relative to underlying clients, exposure units, but suspect that that will be broadly overcome by rate and some of the -- what we are seeing relative to increases in payroll expenses at client accounts, increased values, et cetera. And so we are spending time ensuring that our teams are prepared to provide thoughtful advice to our clients during that type of an environment. Our experience would suggest that when we enter into kind of economic pull backs, clients tend to be more open-minded to having conversations with new insurance consultants and providers and we tend to take share in those types of markets. So we feel really good about our positioning similar to how we were able to perform through 2020, during that pull back we feel like we will be able to serve as a true beacon of stability and be able to provide fantastic advice and back stop for our clients.
Elyse Greenspan: And then -- thanks, Trevor. And then just one last one, any update to the full year M&A outlook and anything you can tell us on the pipeline?
Trevor Baldwin: Yeah. A few things, one, I will just provide a couple of data points. Optus & Partners [ph] published some data recently, announced M&A transactions in the brokerage space were down somewhat meaningfully in Q1, the lowest first quarter announced transaction rate since 2016. Not overly surprising considering the amount of M&A that got pulled into last year. But considering kind of the broader economic environment, the volatility that we are seeing and we are being very thoughtful about how we deploy capital. We have always had and will continue to have a very high-bar through the type of transaction that is going to be accretive into our business over both the near- and long-term. And as a result of those broader conditions, I would expect us to be probably on the lower end of our expected range from an M&A perspective.
Elyse Greenspan: Okay. Thanks, Trevor.
Trevor Baldwin: Yeah.
Operator: The next question will come from Greg Peters from Raymond James. Please, go ahead.
Greg Peters: Hey. Good afternoon, everyone. I would probably like to follow up on Elyse’s question regarding the potential for a more challenging macro environment. Can you give us some context about your Middle Market business in terms of exposure to industries? And then maybe also include some comments about certainly how the positive rate environment seems to be a nice tailwind for that business too?
Trevor Baldwin: Yeah. Happy to do that, Greg. So when you look at our Middle Market business broadly, we are overly exposed to higher growth industries and higher growth geographies. So as you think about the largest areas of focus, its real estate, its technology, its healthcare, its construction, particularly with a focus on infrastructure. And so while there is pockets of those industry sectors that could feel some weakness as we kind of look across our client base, we feel very well-positioned. Additionally, as I mentioned earlier, our experience would suggestion in an environment where there’s more economic volatility or pull back, we tend to take share, because clients tend to be a bit more open-minded about having a conversation, entertaining a new prospective service provider. And as we have talked about in the past, our go-to-market approach the way in which we take a highly consultative process to engage with those prospective clients enables us a win rate that far exceeds the industry. So this is the type of environment where not only is our client base somewhat defensible relative to kind of industry broadly, but our business is set up to really take share nicely.
Greg Peters: Yeah. Thanks. I -- a couple small detailed questions, but I was wondering if -- and I don’t want get too hung up on a quarter’s results, but if you could talk to us about the variances in free cash flow in the first quarter versus last year or maybe don’t get caught up in as much detail, but talk to us about your outlook for free cash flow for 2022?
Brad Hale: Yeah. Hey, Greg. Good evening. So the decrease you are seeing year-over-year was largely the result of the organic investments in talent technology that we have been speaking about over the prior quarters, as well as the acceleration I mentioned to Elyse in her previous question on margin, in order for us to get online and ready to serve the program administration agreement in conjunction with the closing of Westwood. We do expect that trend to reverse in the back half of this year, as our investment initiatives contribute to growth and margin in the back half, as well as free cash flow.
Greg Peters: Makes sense. With the Westwood acquisition, that’s going to go all into Main Street, is that correct? And as a follow on to just, because that was a big transaction for you, can you give us an update on where you are in terms of debt-to-EBITDA and I know, just remind us where your longer-term targets are?
Trevor Baldwin: Yeah. Hey, Greg. Happy to take that one. The Westwood partnership or transaction closed at the end of April, we could not be more excited about that. As we have shared in the past, it really accelerates our strategic roadmap on the embedded homeowners’ side of our business and so we are thrilled to welcome Alan and the entire Westwood team to the BRP family. From a balance sheet perspective, we are in the mid fives from a debt-to-EBITDA perspective. As we have mentioned in the past, we expect and plan to delever the balance sheet responsibly through a combination of growth in the business, margin expansion and the free cash flow generation that the business continues to generate over the course of the coming years.
Greg Peters: Got it. Just a clarification for the Westwood, I know you are happy about that, but that’s going to all -- I should assume that acquired revenue follows into the Main Street business, correct or most of it?
Trevor Baldwin: The acquired revenue will all -- will flow into the Main Street segment, correct. Now the MGA separately has a program administrator agreement with QBE, but that is separate from the Westwood transaction.
Greg Peters: Is that going to Specialty or does that stay in Main Street?
Trevor Baldwin: That goes into Specialty.
Greg Peters: Got it. Thank you very much for the answers.
Trevor Baldwin: Thanks, Greg.
Operator: The next question will be from Weston Bloomer from UBS. Please, go ahead.
Weston Bloomer: Hi. Good evening. My first question is on the Westwood acquisition. Can you just help us frame the economic sensitivity of that business, maybe just how it performed during 2020, during COVID or how should we think about that $82 million of acquired revenue as it flows through the model before it hits organic? Thank you.
Trevor Baldwin: Yeah. Hey, Weston. So happy to talk about that. One, the Westwood business has a multi-decade history of significant stability throughout economic environments. In fact, as you look at the product mix inside that business today more than 80% of their policies in force are homeowners policies. When you think about a homeowners policy, that is not generally an optional purchase, it’s something that is oftentimes put in place when you buy a home, it’s required in order to get a mortgage, and oftentimes, the premium payments are escrowed as a part of that mortgage payment and so the stability in the existing book of business is very strong. In the current environment, you have also got a positive rate impact to that renewal trail that is an additional tailwind and while you may see new home starts could slow down as a result of increasing mortgage costs, that we would expect to have a de minimis impact on the overall growth trajectory of the business, as a result of how that flows in relative to renewal revenue and rate to drive ultimate growth. Based on conversations, we have had with homebuilders and others in that supply chain and value chain, if many of the homebuilders quit taking new home orders today, they need to continue building homes for at least another six months, just to chew through the existing contracted demand that they have. So we feel good about not only how that business is positioned to perform throughout economic cycles. But in particular, feel good about the defensive nature of the revenue streams and the type of increasing interest rate environment that we are headed into.
Weston Bloomer: Got it. Thank you. And then my next is on the investments that you are making in the business. I know you had around $12 million remaining on your $30 million program from 2021 and you did announce the $50 million program. Is there a way to quantify kind of where those numbers stand 1Q to-date, I know it is accelerated, but curious if you have those numbers?
Trevor Baldwin: Yeah. So we haven’t provided specific disclosure Weston. What I can tell you is, we are on track and slightly ahead in the areas where we accelerated and you can think of that it being kind of broadly pro rata across the year relative to impact. And so, as you think about as an example, the combination of $50 million and the $12 million you think about prior year pro forma EBITDA margin of $37 million, compared to this year’s $30 million. The acceleration of certain investments in order to position us to catch the QBE program administrator agreement bridging up the $32 million and the balance of that annualized number of bridges you to the $37 million.
Weston Bloomer: Got it. And the last one is also on the margin. If I just do rough math on the employee, on the hires that you made in the quarter and take a look at total commissions and employee comp and then it looks like there is like a 10% delta between those two numbers, which implies higher wage inflation. So, just kind of curious how you are baking wage inflation in your forward projections and what impact that had in the quarter versus the investments you made?
Trevor Baldwin: Yeah. So it’s -- I would not say that it’s a direct result of wage inflation. What you are seeing is that we have brought on a tremendous amount of new professionals that have not yet become productive revenue generators inside the system. And so as we have talked about in the past depending on the business that can be as fast as 90 days or as long as three years and typically more on the two to three year side. And so as these people come on, it takes a couple of years for them to earn into productivity where you would see that comp and benefits ratio normalize. As you think about how we are positioned relative to wage inflation, roughly half of our compensation is variable in nature, tied to the topline revenue of the business. And as you think about our workforce and the amount of people that we have hired in on an organic basis over the past couple of years relative to our total population who have come in at market we feel like we are significantly better positioned than many of our peers across the industry because of kind of the relative recency with which their comp has been set as they came into our system.
Weston Bloomer: Got it. Thank you. Appreciate the color.
Trevor Baldwin: Yeah. Thanks, Weston.
Operator: The next question will be from Yaron Kinar from Jefferies. Please go ahead.
Yaron Kinar: Thank you and good afternoon. First question, just going back to a potential recessionary environment, how do you see that impacting the acquisition pipeline?
Trevor Baldwin: So, Yaron, it’s a good question. Right now what we would tell you is that, we have a pretty meaningful pipeline of opportunities and we are just being particularly thoughtful about what makes sense in the relative timing. I think what we know is that the private market tends to lag the public market by six months to 12 months relative to kind of pricing, resetting. And so, oftentimes as that’s occurring, you see a slowdown as people have to kind of re-rationalize where pricing is relative to what may be the market was commanding previously. With all that being said, this industry is incredibly resilient. It has a history of outperforming through economic downturns over the course of both the most recent two examples of that in 2020 and 2008. And as a result of that, investor demand has continued to grow and there is 50 capitalized buyers in our space right now. And so I would not sit here and prognosticate that we are going to see any material or precipitous drop-off in relative valuation. I do think that there will become a growing filter around quality and that’s the approach we have always taken.
Yaron Kinar: And with that in mind, I guess, looking at the 5.5 times debt-to-adjusted EBITDA ratio that you have and the 7 times debt covenant, I guess, how willing would you be to stretch a bit further for attractive acquisitions in the near-term?
Trevor Baldwin: We would not look to go above 6 times.
Yaron Kinar: Okay. Thank you.
Operator: The next question will be from Mike Phillips from Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi. This is actually Jeff Virgadamo [ph] on for the line of Mike Phillips. I think most of my questions have already been asked. I guess just one high level question. Just one of them, what management’s view on the P&C pricing environment is like? Any potential for inflationary pressure on loss cost trends to like stall deceleration of pricing or maybe perhaps cost and reacceleration? Just curious what you guys are seeing there?
Trevor Baldwin: Yeah. Mike, I think there is a likelihood that that’s going to occur. I mean you are certainly seeing that in personal auto. I expect we will see a growing trend in homeowners there. And I think there is aspects of that, they are going to begin flowing the traditional commercial insurance product lines as well. I know there has been some recent discussion around the impact of social inflation as the court systems turned back on. So, I think, while I wouldn’t sit here and tell you that I have got 100% conviction that inflation is going to reverse the kind of the slow rate ebb that we have seen. I think there is a meaningful chance that that could occur over the course of the next 12 months.
Unidentified Analyst: Great. Thank you. That was my only question.
Trevor Baldwin: Thanks, Mike.
Operator: And the next question is from Pablo Singzon from JPMorgan. Please go ahead.
Pablo Singzon: Hi. So, on the MGA, I was wondering if you could offer some perspective on how the different business lines contributed to growth this quarter, specifically are the newer lines that flood and homeowners revenue numbers? And then, any commentary on Specialty ex-MSI where I think organic was in the mid single-digit? Thanks.
Trevor Baldwin: Yeah. Hey, Pablo. I will give you a few high level remarks and ask Kris to provide some more specifics. I mean broadly, what I would tell you is that, and the organic growth at the MGA is accelerating and when you look at year-over-year organic growth for the first quarter and the comps that we were going after it’s been really terrific performance, particularly with mastered kind of turning on for the first time in the first quarter of 2021. We reached a fantastic milestone with over $1 million H04 and master policy certain force. And we are very encouraged by the progress that we are seeing on the homeowners’ side, which has begun contributing to results and we believe it will be contributing meaningfully to results in the second quarter, as a result of the success we are having rolling it out across multiple states. But Kris, you want to provide some more commentary there?
Kris Wiebeck: Yeah. Sure. I would say for Q1 home was relatively de minimis as far as adding the results, which I think Trevor is indicating, we expect to turn on in Q2. What we can say even last week and early this week, there are days now where home is 10% to 15% of new premiums sold throughout the MGA, so turning on well. We were six days live, yesterday, I think we have turned two more on today for the non-QBE home, right, the home product that we have been building out and so that is kind of anecdotal evidence to us it’s starting to ramp up and we would see that continue through Q2 and into Q3 and Q4. Especially given what’s going on in the Florida market and having two admitted products that are on, and we can now sell in Florida, we think we probably timed that right in terms of entering the market at a time when there is a lot of pain and we would look for results to accelerate there.
Pablo Singzon: Thanks for that. Second question is for Trevor. So in the past, you get offered the relative contribution to exposure integrate the growth in Middle Market. I was wondering if you could talk to those factors in the first quarter and how you expect them to trend through the balance of the year. And I guess the context of the question is that, if you look at what the commercial underwriters have reported, rates has been going down slowly, but then exposure has been picking up and I was wondering if you are seeing the same and what you think might unfold for the balance of the year?
Trevor Baldwin: Yeah. Pablo, great question. So the impact of rate and exposure on a combined basis to our results is 4% in the first quarter. What I would tell you anecdotally is that, rate is becoming a slowing contributor to that and exposure is a growing contributor to that as a result primarily of the inflation that we are seeing in the economy and I would expect that we will continue to see mid-to-low single-digit tailwinds from the combined impact of rate and exposure through the balance of the year.
Pablo Singzon: Got it. And then last for me, along the lines of a couple of questions that have been asked already, but as we are thinking about your financial position a year or two out. I was wondering if you give us -- you could give us a sense of how quickly you expect to delever from 5.5 a day? It seems like you are financing program look over partnership this year, but it’s less clear for 2023 and beyond? Thank you.
Trevor Baldwin: Yeah. We expect to be able to continue to delever the business responsibly over the course of the next couple of years to our longer term target range.
Pablo Singzon: Got it. Thanks, Trevor.
Trevor Baldwin: Thanks, Pablo.
Operator: [Operator Instructions] The next question is from Meyer Shields from KBW. Please go ahead.
Meyer Shields: Thanks. Trevor, if I can go to your earlier comment anticipating a slowdown. How should we think about the timing of some sort of GDP contraction and where it actually emerges in revenues?
Trevor Baldwin: So, I guess, Meyer help me more specifically on the question. You are asking about the timing of pullback in GDP and what the direct corollary is to our revenue streams?
Meyer Shields: Yeah. I am thinking in the past I guess we would assume something like a three-month to six-month lag between economic inflection and where it shows up on the broker revenues, but I don’t know if you share that impression or how it looks with the BRP book?
Trevor Baldwin: Yeah. So historically what I would say is that there is that lag as you see the pull-through come in as premiums and policies are audited out. What I would tell you though, as a result of 606 accounting policies that you would begin to see that impact more immediately, because you are -- in many cases recognizing the full annual revenue at the date of renewal on a policy. And so, as soon as you begin to see some of that GDP slowdown and your clients are coming, and they are renewing programs with lower exposure units as a result of that, you are going to see the direct flow through in that in real time and I would expect, we would see as a result a more real-time impact. As I had articulated earlier, we expect and that we will be able to fully grow through that impact as a result of both the client industry sectors that we spend a lot of time in and kind of how our business is broadly positioned to take share in that type of an environment.
Meyer Shields: Okay. That’s very helpful. Thank you. Second question, in the past you have talked about the timing of potential M&A and I was wondering if there is any update that you can provide as far as that?
Trevor Baldwin: No specific updates Meyer other than I think I would expect us to continue to periodically announce new partnership opportunities, somewhat ratably over the balance of the year.
Meyer Shields: Okay. Perfect. Thank you.
Trevor Baldwin: Thanks, Meyer.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session and I would like to turn the call back over to Trevor Baldwin for any closing remarks.
Trevor Baldwin: Thank you and I want to thank everyone for joining us today. We look forward to speaking with you next quarter. I want to provide a particular shout out and thank you to all of our colleagues for all their hard work in serving our clients and helping us achieve these amazing results this quarter. Take care.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.